Katariina Hietaranta: Good morning, and welcome to Kamux's Q3 results presentation. My name is Katariina Hietaranta, and I'm Head of Investor Relations at Kamux. We have our CFO, Enel Sintonen; and CEO, Juha Kalliokoski, presenting the results, after which we will have a Q&A session. Go ahead, Juha.
Juha Kalliokoski: Thank you. Good morning. My name is Juha Kalliokoski, and I'm back as the CEO of Kamux since October 16. As Katariina said, Enel and I shall now guide you through Kamux's Q3 results. Here is agenda for the presentation. As usual, we shall first take a look at the quarter in brief, Kamux's market positions and what our showrooms network look like at the moment. I shall then lead you through our review by country, after which Enel will present in more details the financial development of the company. Towards the end of the presentation, we will take a look at where we are in terms of our long-term targets, a few words about our strategy. And at the end of, we will have a Q&A session. During Q3, we continued our focus on profitability and improving the financial health of the company. We have successfully reduced the average price of the cars we sell as planned. This contributed to revenue decrease, although the main component was the decrease in the number of cars sold. Our revenue decreased by 17%. Our focus on profitability has paid off and the gross margin has increased from 9.8% to 10.9%. The improvement gross margin was, however, not sufficient to compensate for the decrease in revenue. And subsequently, our gross profit decreased. Our adjusted operating profit decreased from EUR 5.5 million to EUR 4.3 million. Our cash flow has been extremely strong, EUR 31.5 million in January to September. And our inventory is at a healthy level as we enter the quieter period towards the end of the year. Revenue from the integrated services decreased from EUR 14.6 million to EUR 13.7 million as a result of decrease in revenue and number of cars sold. However, the share of integrated services in revenue increased by 5.2% to 5.9%. Consumer preference towards affordable cars continued in all our markets. Customer satisfaction was a good level and a targeted level and NPS was as high as 63% in Finland. Used car markets grew in Finland and Germany, while in Sweden the market was flat. In Finland, finally, it was the sales by dealers that grew during the quarter, while earlier in the year, market growth came mainly from consumer-to-consumer sales. Kamux continues to be the #1 player in the Finnish market measured in number of cars sold. In Sweden, we are #8. And in Germany, our market sale is still very small. A few words about the new car sales. On a year-to-date basis, the growth in new car registration in Europe has been very modest, less than 1%. In Kamux operating countries, registrations have grown only in Sweden, while in Finland and Germany, the new car market is either flat or negative. In the big picture, Kamux is Europe's fourth largest seller used car cars in Europe, and those figures are from last year. Here is an update on our showrooms network during 2025. As of today, we have 68 showrooms. In Finland, we have closed 2 showrooms, Klaukkala and Mantsala during the year. By the end of November, our showroom in Jyvaskyla, Central Finland will move to new premises that are owned by us and built to suit our needs. The total number of showrooms in Finland is now 42. We have made -- we have not made any changes in Sweden, where we continue to have 17 showrooms. I shall come back to our plans in Sweden later in presentation. The Schwerin showroom in Germany was opened in early July, and we currently have 9 showrooms in Germany. Moving to the comments per country. In Finland, we succeed in consumer purchase during Q3 very well. This is particularly important now as importing from abroad is not easy due to the low level of prices for used cars in Finland. Our strong focus has been on more profitable sales, which has led to decreased volumes. We are continuously working to find the right balance between volumes and margin. Gross margin per car sold increased both in Euros and in percentage, which we are very satisfied with. For the quarter, Finland gross margin grew from last year 10.3% to 11.6%. The adjusted operating profit margin increased slightly, although in Euros, we fell behind the comparison period. Adjusted EBIT margin is also above the 4% level. As of September 1, Joni Tuominen was appointed Managing Director of Kamux Finland, having acted as an interim MD since mid-April. Sweden. It has been a pleasure to see our Swedish team making a strong turnaround. Compared to Q3 in 2024, our operating results improved by EUR 1 million, which is really a great achievement. In Sweden too, the focus on profitability has had a downward impact on sales volume. But we have succeeded in increasing the margin per car as well as significantly strengthening the penetration rates for both financing from 48% to 53% and Kamux Plus from 16% to 25%. Customer satisfaction has also risen close to the group's target level and NPS was 58 in Q3. We have completed the assessment of our network in Sweden and decided not to make any major changes at the moment. The current network is sufficient for a profitable business in Sweden, and it also allows growth. We believe it's possible to have a profitable business in Sweden, and it's very much in our plans. Our team in Sweden has already made a clear positive turn by progressing according to plan for 2 quarters in a row. And the results are already visible both in the financial KPIs as well as operational efficiency and customer feedback. And then Germany, challenges on car selection and volumes continued during Q3. Sales volumes were weak, primarily due to the car selection that did not match the demand well enough. The revenue was impacted by the weak volumes, and the margins by the inventory management measures we took, selling out or getting right off low demand stock. Subsequently, the operating results was negative. Marcus Mezodi started as the Managing Director for Germany on the 1st of July. And together with him, we have started to turn the business around. As in Sweden, in Germany, we work in close cooperation with Marcus to build daily operating routines in line with the Kamux concept. Going forward, this will help us to achieve first reason car margins and thereby building the profitability of the business and supporting our ability to grow. As one of the first steps, we modified our purchasing process and ensure that our selection meets the demand better. And then here you are, Enel, you are going to the finance, more details about the financials.
Enel Sintonen: Thank you, Juha. As noted by Juha already, our focus has been on financial health and what it means. First, our focus continued to be at car pricing and margins, and we continue to be selective on deals. And second, we continue to work with inventories with focus on capital efficiency, fit with volumes, car selection fit to consumer demand. And key achievements of the quarter were we achieved clear improvement in margin and profit per car. Both Finland and Sweden progressed as planned. In Germany, as noted by Juha already, we faced challenges, and we work intensively and with discipline to turn the profitability into the right direction there. We reached our targets on inventory levels and progressed well with inventory structure and selection fit. Decline inventory levels contributed well to liquidity. We have now EUR 20 million cash at the end of the period, and it enables growth as well as investments in the future. Focus on profitability had also some adverse impacts at the expense of being selective on deals and targeting higher margins, we lost some of the volumes. Volumes dropped exceeded our assumptions, and we needed to issue profit warning in October. Part of the volume drop, not significant, though, was due to smaller net showroom network. And here are the numbers and summarizing key financial ratios. Revenue declined 17%. Key drivers were underlined earlier. Gross margin to revenue improved 1.1 percentage points, which agrees with our targeted levels and was based on our plans. Operating result to revenue improved from 1.5% to 1.8%. Key contributors were improved gross margin and almost absence of items affecting comparability. Adjusted operating result declined slightly from 2% to 1.8%. Operating costs did scale, however, not at full scale. Inventory days improved slightly. However, this is the area we have clearly room for improvement and work intensifies on this measure. Return on equity calculated from rolling 12 months result is at clearly unsatisfactory level, especially due to 2 notably weak quarters of Q4 '24 and Q1 '25. In equity ratio, we have reached 50% level. As a summary, the financial performance of the quarter demonstrates that we are directing our focus and efforts in the right areas. A key area to improve is finding a right balance between profitability and volumes. And after 2 quarters of improving our daily routines on car profitability and inventory fit, as well as strengthened cash position, I think we are better equipped to go for volumes. We do it step-by-step with focus and also needed patience. Here, we can see revenue and adjusted operating result trends. And looking this year, you can see that Q1, we had a negative result. And this is the only quarter in this slide from '22 to '25 that is a negative. Going to Q2, we can see here going up, and also Q3 going further up. So, it's quite nice trend. However, as I said, we are not satisfied with the levels that we have right now. Going to Q4 last year was very weak on profitability-wise, and this is something now we are working to make a clearly better result there. Here, we can see the trend in volumes. So, volumes declined in the quarter, but less than in Q2. mostly due to profitability focus, and with slight impact from lower showroom network. In Q2, so previous quarter, we sold about 3,800 cars less compared to the previous year same quarter. And in Q2, we sold about 2,800 cars less than in previous year same quarter. So, we have seen some positive trend in here, but clearly, we work on the volumes going forward. At the end of the third quarter, our cash position was EUR 20 million. And as noted earlier, this gives us a good position going forward. We are satisfied with a combination of strong operating cash flows and positive car profitability development. Our integrated services revenue development was hit by lower volumes. We are not satisfied with this trend, even though the share of integrated services has slightly increased in total revenue. Here is a visual representation of how our net working capital developed. We can see EUR 24 million reduction in net working capital, driven by a decline in inventory. I can say that our inventory is in a better fit from both structural and also price point perspective. So, in October, as you know, we had to lower our profit guidance for the year. We have been successful in improving our profitability, but this work has had an impact on our volumes. And with the number of cars sold lower than our forecast, the adjusted operating profit in euros is also estimated now to be lower than expected earlier. We have also announced that our dividend distribution in October, we did it, and dividend EUR 0.07 was paid at the last day of October. And this morning, we have announced a share buyback program. Based on the Annual General Meeting mandate, Board of the Directors have decided to acquire at maximum 1 million shares corresponding to approximately 2.5% of the company's total number of shares. The maximum amount to be used for the repurchase of shares is EUR 2.5 million, and the program will commence earliest on November 17 this year. And Juha, back to you.
Juha Kalliokoski: Thank you. So, a few words about our long-term targets and strategy. With regard to our long-term targets, we are currently behind in the financials but still believe that these targets are doable in the long-term. And as we have just heard, we have already made progress in improving our profitability, particularly in Finland. Sweden is also progressing in the right direction. In customer satisfaction, we have progressed it very well, and the group NPS for Q3 was 60. We hit our target. In October, the group NPS was as high as 66. Here is our current management team. I had the opportunity to work with the team in an operative role for 8 months before starting as CEO. And it gave me an opportunity to get to know them slightly differently than had I been the CEO. I was also involved in a number of the recent recruitments. Kamux has been an entrepreneur-led company. As the company grew, we needed a unified way of working, and this is what we began with Tapio in charge. We will continue to define and implement common ways of working, so this will not change. We will continue to work with optimizing volume and profitability, data-driven pricing and S&OP, processes as well as inventory management. We will focus on the net working capital, I mean -- and we mean no lazy capital. And at the center are naturally our passionate and capable employees. We have invested in training our employees and will continue to do so. One of the areas where we are proud is our customer satisfaction and demonstrated in our Q3 NPS, which was 60. Going forward, we also want to ensure that our personnel has the opportunity to succeed in the work. Our strategy remains unchanged. We have already made good progress on the customer side as is seen in our NPS figures. We have also made some progress in improving our operating efficiency, but here, we have still clearly more to do. The direction is right, and we still have a lot of to achieve. Our vision also remains unchanged to become the #1 used car retailer in Europe.
Katariina Hietaranta: Thank you, Juha. Now it's time for questions, and we shall begin with taking questions from the telephone conference line, if there are any. [Operator Instructions] The next question comes from Maria Wikstrom from SEB.
Maria Wikstrom: Yes. This is Maria from SEB. And for Juha, welcome back to a CEO role. I wanted to start with asking a question on the volume trends. Obviously, I mean, this is what has been the recent problems. I think everything starts with volume. So, if you could walk me through a bit of the actions what you are taking in order to resume volume growth in the future.
Juha Kalliokoski: Thank you, Maria. If I start, you must choose your games where you want to win. And we choose in last spring the profitable business and we started there. And now we are a situation as we saw from our figures that in 2 quarters, we improved our gross margin in Sweden and in Finland. And now we are a situation we can push cars on the volumes. And of course, inside the company, we have many things what we are doing. And we believe that we can change our growth side also.
Enel Sintonen: If I may continue a bit there, given that the NPS has been, I mean, very low in, I mean, the last 12 months. I'm wondering if this is a correlation with lower number of cars sold, which, I mean, then, of course, reduces the compensation for your salespeople and how you are able to turn this around in a very competitive used car market that we are seeing today?
Maria Wikstrom: So low EPS.
Juha Kalliokoski: Yes, it's one focus areas, what we showed to the people what we have. It's balanced between the demand for the employees and also the happiness of the people. But even we sell less cars and improved our margin, it means that the salary side, it not impacted so much when we compare the gross margin, what was the changes in the countries. And I don't see that this is the area why we -- the employee turnover was quite high. But this is totally the key area that we want to keep the people in the company and give more time for this and make a better job together all.
Maria Wikstrom: And then my last question is towards your international operations, and I might even know the answer by now, but I mean, still asking if -- as it seems that your patient with turning around the Swedish and German operation is endless. So have I interpreted this right that even if you haven't returned positive numbers, I mean, from neither of the geographical areas until, I mean, today, you are still ready to -- patient enough to wait to get the turnaround in both of the regions.
Juha Kalliokoski: Yes. We are focusing the turnaround case in the countries. And as we saw, the Sweden happened a huge change. And in Germany, we are doing daily routines at the better level and see also the possibilities, and we are continuing in both countries the business.
Katariina Hietaranta: The next question comes from Calle Loikkanen from Danske Bank.
Calle Loikkanen: This is Calle Loikkanen from Danske Bank. I have a few questions. If we start with Sweden, could you perhaps talk a bit more about your kind of upcoming plans in Sweden? I mean you have done now the network assessment. So, what are kind of the next steps to drive growth? And then also, where do you see that the EBIT margin could kind of realistically go with this setup, with this network that you now have within, let's say, a couple of years?
Juha Kalliokoski: If I separate 2 parts to the question. The first part, we see -- of course, we know how many cars we can put in our stores, what we have or premises what we have, and it gives the possibilities for us to grow. with the stores what we have now. And the focus is make a bigger and better businesses in this setup what we have just now. And of course, we are looking into further what is the new way of working and make a business -- used car business. And the other part, we are not announced about or published the country by country EBIT levels, and we have the one target in long-term target, which is 4% in the group level.
Calle Loikkanen: And then I was wondering about Germany. You mentioned inventory management during the quarter. So, I was wondering that is there more inventory actions that you need to do during Q4? Or was everything done now in Q3?
Juha Kalliokoski: Of course, it's not a one-off when you are -- it's the daily basis work with the inventory, and you can't make it once. It takes a little bit more time, some months that you can turn the inventory right direction, and you are purchasing the right cars to the inventory. But the major change is we changed in Q3.
Calle Loikkanen: And then on Finland, you said that the market growth was driven mostly by dealer volumes now in Q3. So, I was just wondering that what has changed in the market because it's been very consumer-driven market now for many, many quarters. So, has something changed in the market? And do you expect this dealer-driven market to continue in Q4 and onwards?
Juha Kalliokoski: Of course, we wish and hope that the car dealers share of the deals are increasing. And it's maybe something about the customer -- what is the word of ---
Enel Sintonen: Consumer confidence.
Juha Kalliokoski: Consumer confidence is increasing. It means that consumers are purchasing or buy a little bit more expensive cars, and it means a bigger share from the dealers to the car dealers because typically, the consumer-to-consumer business, it's very low price point for the cars. It's only some EUR 1,000 the average price. But I don't actually know what was the reason in Q3, this changed, what happened. But of course, it's a good situation that it changed for the more car dealers driven growth.
Calle Loikkanen: And then finally, on my side, you've been doing very well now in terms of profitability and kind of margin improvement. And of course, that's the cost side here has been then the volumes. But I was wondering that now you've made a good improvement on the margin, is it now time to push more for volumes going into Q4 and into 2026? Or do you -- how do you think about the profitability versus volumes now versus what you've done over the past, let's say, a couple of years -- sorry, a couple of quarters?
Juha Kalliokoski: Yes. It's totally a good question, Calle. As I mentioned earlier, we have focused the profitability and turned the right direction. And now we are a situation that we can balance between the profitability and the volumes and push costs more about the volume side. And we believe that we can grow and of course, calculate together to integrate with the integrated services, what is the right balance between those.
Enel Sintonen: Yes. And just to add, when looking back to Q4 last year, looking at the volumes and then profitability, you can see there that we were, how to say, focusing more on volumes compared to profitability. So, this gives us that our comparative numbers in Q4 volumes is, how to say, a challenge in that sense. And also -- but however, the profitability is, how to say, in a more moderate level. So, the last year Q4 volume focus is giving us some maybe challenge.
Juha Kalliokoski: Yes. And maybe one point more. If you compare a year back, we have now EUR 30 million less inventory and a lower average price point. It means very much lower risk compared to a year ago because it was quite a big grasp what we had a year ago.
Calle Loikkanen: That's a very good point. That's a good explanation. Is there any kind of -- you said lower price point in the inventory. Is there any number that you could give us that how many percent lower is the price point now or something that you would like to share?
Enel Sintonen: Not at this moment to share.
Katariina Hietaranta: There are no more questions at this time. So, I hand the conference back to the speakers.
Enel Sintonen: Very good. Thank you. I think that we shall next take a couple of questions here from the audience, and then we'll go with the questions received in the chat. Okay. Rauli, please?
Rauli Juva: Yes. Rauli from Inderes. A few maybe more detailed questions continuing on the inventory you mentioned. Typically, the seasonality on the inventories is that it goes down in Q4, so -- in Q3 to end Q4. So, are you expecting that also in this year, even if you are kind of starting point is quite a bit lower than typically?
Juha Kalliokoski: Yes, it's -- we are quite a good level at the end of Q3. And we don't have a pressure to give a lower number at the end of -- value of the end of the year. Of course, it's the condition of the inventory, how fresh it is. And this is more about the things what we are just now doing.
Rauli Juva: Then in Finland, you mentioned that you had discontinued the cooperation with Beely, whatever it's pronounced. So, can you open a bit about that? Why was that ended? And are you considering your own leasing offering?
Juha Kalliokoski: Yes. We looked through about the contract and the business, how it went. And we didn't see it's so good business for the Kamux but we made decision that we ended that. And of course, it's a very small part of our business, and we will see is there coming some other products for this segment.
Rauli Juva: And then finally, the Kamux Plus penetration in Finland, if I didn't look right, it was the lowest in a few years, even if not that much, but still below 30%. So, is there any particular explanation why that's down?
Juha Kalliokoski: Maybe one part is the average price, what we sold, it was lower. And it typically goes so that the penetration is higher when you sell the more expensive -- little bit expensive car. And this is maybe one part. And the second part is, of course, where we are focusing, and it's also on the table to sell better penetration of the Kamux.
Katariina Hietaranta: Further questions from the audience?
Unknown Analyst: In history, Kamux had competitive advantages like selling services and management with data. How is it nowadays? If we are targeting towards 4% EBIT margin, do we have some new advantages in competition? Or is it about executing old advantages better?
Juha Kalliokoski: As we see in Finland, we are over 4% level. And still, we are not satisfied that level where we are. We can improve that, and then when it comes to Sweden and Germany, in our side, it's possible to achieve those targets in this business, how we work just now. Of course, we are thinking all the time where the used car business are going and what we are taking from there.
Unknown Analyst: Then, about profitability and volumes. Just wondering, are they really against each other? I mean, if you are selling more volumes, you have more turnover against those fixed costs. So, focusing instead of volumes to profitability? Are they really opposed to each other?
Juha Kalliokoski: Yes, this asks because when we speak only about the cars, and if you give the very big discounts, you can make a deal. But you don't have any metal margin or very low-level metal margin. You have only the integrated services. And as we see what is the part of the integrated services from our gross margin, we can't make 4% in group level EBIT if you do that. Of course, it's balanced between, and maybe we went, in some cases, quite straightforward and very, very small discounts, what we gave, especially in Finland. And it came against us when we speak about the volume.
Enel Sintonen: I just wanted to add here that when thinking about profitability, it's also purchase and sales. So, we are more careful what we purchase to ensure that what we sell is also profitable. So being at the lower level right now, 2 quarters, it has also given us opportunity to strengthen our daily routines on this and how we think about car business overall. And I think that your question, yes and no. So Juha answered already that. But the question also is how we consider what is the business we are at and what we want to achieve longer-term.
Unknown Analyst: Then it's basically achieving more customer inflow to your shop so that you can pick most attractive ones. Final question about cost. There are 2 kind of costs, purchasing price of cars, but then operational costs. Do we have any opportunities with operational costs, how to operate car business more efficiently?
Enel Sintonen: Thank you for the question. So yes, so when we look at the first showroom costs, the question is what is our showroom network, how much is -- what is the capacity? And we can see that we have still, how to say, capacity in place for higher volumes. So, we can do some changes there in the future when and if needed. Another thing is, of course, when we're looking at the customer journey and how we get more traffic, this is something that is changing quite intensively, the cost structure and there. So, this is something we are working also significantly. And also, salaries and pay for the stuff. We have fixed, but also a very big part of variable. So, fixing also salary models is something. So, a significant part is we can scale. So, room for improvement, I would say.
Juha Kalliokoski: And just a year ago, we invested in new provinces, Helsinki Tunemi, Espoo Fila, and Vantaa Petikko, 3 big stores, quite high costs. And as we saw, our sales declined. And at the same time, you took in higher costs and lower sales. It's not a good combination, and now we are tackling that.
Unknown Analyst: Did I remember right that in [USkula], we have built our own premises. What is the strategy with that in a way, instead of renting premises, having own one?
Juha Kalliokoski: Yes, we looked at their premises quite a long time, and we didn't find that they're good for us. And that's why we made the decision that we can have some on-premises and in a good place and just made for us. And for example, Tampere Lakalaiva, which is not our own, but made clearly for us, and all of those works very well.
Katariina Hietaranta: Thank you. We have a couple of questions online via chat. First, it's about the volumes. So, Mika from DNB Carnegie is asking that you've experienced sequential quarterly volume declines, while the overall used car markets in your operating countries were growing slightly. This suggests a significant market share loss. What specific leading indicators are you tracking to signal when volume declines will stabilize? And what is your realistic expectation for when unit sales will return to growth? Also, do you think the long-term target of 100,000 cars sold per annum need to be reassessed given the smaller store footprint and continued market share losses?
Juha Kalliokoski: Quite a long question.
Katariina Hietaranta: Yes. So maybe focusing in terms of what specific leading indicators are you tracking to signal when volume declines will stabilize?
Juha Kalliokoski: As we see in all our markets, it's not the reason that the market declined. It's our own hands, how we think about the market and market share. And as we mentioned earlier, that we focused on the profitable side and financial health. And now we are looking more about the volume side.
Katariina Hietaranta: And I believe that we have stated that the long-term target, 100,000 cars, is still valid, and there's been no change in that. Mika is also asking about Germany in terms of Germany has been described as undergoing a strategic restart, but shows deepening losses, management changes, and ongoing inventory and assortment issues. At what point do you consider a full exit from Germany to preserve capital?
Juha Kalliokoski: As we mentioned earlier that we are focusing in both countries. We are not losing those. And I would say that our concept works in Germany it's more about how we handle it by daily routines and make the business in a daily basis. We are continuing in Germany.
Katariina Hietaranta: We also have a question, a bit broader, on the European market. There are some strong players like Aramis or Ares, and yourself. Do you think there is some room for cross-border consolidation among these independent used car retailers? There are some interesting largely untapped markets such as Poland, Baltics, et cetera.
Juha Kalliokoski: I remember earlier told about our strategy. And one part is possibilities to make acquisitions. Of course, it is.
Katariina Hietaranta: Very good. I have no further questions via the chat. What about the audience? Everyone happy? Very good. Then I thank everyone and wish you all a good day. Thank you.
Juha Kalliokoski: Thank you very much.
Enel Sintonen: Thank you.
Juha Kalliokoski: Bye-bye.